Operator: Welcome to the Sandy Spring Bancorp first quarter 2009 earnings conference call. This is being recorded. With us today from the company is the President and Chief Executive Officer Daniel Schrider; Executive Vice President and Chief Financial Officer Philip J. Mantua; and Executive Vice President and General Counsel Ronald E. Kuykendall. At this time I’d like to turn the call over to Mr. Dan Schrider.
Daniel J. Schrider : This is Dan Schrider and welcome everyone to the Sandy Spring Bancorp conference call to discuss our performance for the first quarter of 2009. Joining me today here today is Phil Mantua, Chief Financial Officer and Ron Kuykendall, General Counsel for Sandy Spring Bancorp. As always, today’s call is open to all investors, analysts and the news media. There will be a live webcast of today’s call and there will be a replay of the call available at Sandy Spring’s website beginning later today. We will take your questions after a brief review of some key highlights but, before we make our remarks and then take your questions, Ron will give the Safe Harbor statement. RR Sandy Spring Bancorp will make forward-looking statements in this webcast that are subject to risk and uncertainties. These forward-looking statements include statements of goals, intentions, earnings and other expectations, estimates of risk and future cost and benefits, assessments of probably loan and lease losses, assessments of market risk and statements of the ability to achieve financial and other goals. These forward-looking goals are subject to significant uncertainty because they are based upon or affected by management’s estimates and projections of future interest rates, market behavior and other economic conditions, future laws and regulations and a variety of other matters which by their very nature are subject to significant uncertainties. Because of these uncertainties Sandy Spring Bancorp actual future results may differ materially from those indicated. In addition, the company’s past results of operations do not necessary indicate its future results.
Daniel J. Schrider : The major factor determining results this quarter and we know it’s what everyone is still focusing on was again a sizeable loan loss provision expense that amounted to $10.6 million. That’s substantially less than the $17.8 million provision that we booked for the fourth quarter but not surprisingly the local economy across our markets has not shown meaningful improvements since year end for the residential real estate builders and developers who we work with. I will get back to more comments on credit quality in few minutes. To review a few of the significant highlights in the press release we issued earlier today, net income was a profitable $0.06 per share for the first quarter versus a net loss of $0.23 per share in the linked fourth quarter of 2008. Net income during the first three months tracked just exactly where we expected it to be according to our operating plan. Total assets increased 11% to $3.5 billion which was due mainly to growth in deposits. Deposit growth is a good story for us and I’ll give a little more color later in my comments. Total loans and leases increased 4% to $2.5 billion compared to a year ago. There has been reasonably healthy loan production all along but the growth in new originations has been heavily offset and run off of repayments of existing loans. The Northern Virginia market grew loans quite well during the first quarter as the organization we put in to place there is hitting on all cylinders and our style of banking is selling well in that market. So, loan activity overall is decent, not great and we would like to be able to ramp it up through the rest of the year. Loan demand will need to improve to be able to accomplish this. Our loan pipelines across the various business lines are certainly active although it’s fair to say the pipelines are not as full as compared to historic levels. I do want to emphasize that we are not among the banks that curtailed lending or stopped making new loans all together. For instance, we closed about twice as many residential mortgages during the first quarter compared to the first quarter of 2008. Our year-over-year increase in loans was comprised mainly of a 6% increase in commercial loans and a 9% increase in consumer loans. We don’t expect much action in the real estate sector for the time being. On a linked quarter basis, total loans decreased 1% compared to the fourth quarter 2008. With all that said, we think the real story is about our deposit growth. During the quarter we added approximately $190 million in new deposits and there was a good mix of both retail and commercial albeit for different reasons. Total customer funding sources increased 8% compared to the fourth quarter of 2008. That is mostly as a result of new money coming in under our new premier money market account. This product is a new money only product with a requited link to the client’s DDA account. Up until April 1st, the premier account paid 2.5% with a three month guaranteed rate. We’ve since lowered the rate by 25 basis points with the same three month guarantee and the product continues to do very well. Just for comparison purposes, these terms are comparable with offers from SunTrust, M&T, PNC and others here in the local markets. So, while we are being aggressive in deposit gathering we are not out there all alone leading the market with irrational pricing. Deposits attributable to the premier money market account balance have grown by more than 50% since the end of the year. We’ve had a decline in overall timed deposits during the first quarter primarily due to pricing decisions to asset us in managing our margin. We have structured the premier account to serve as what we internally call a lead or hook product. That means we are using it to attract new household store company and then sell ourselves in to an increased share of the customer’s overall wallet. Since introducing the premier product, we have secured over 1,100 new households to our company. This hook strategy works because we’ve combined the attractive rate with the guarantee for three months. That gives us a window of activity to work a selling process that we’ve always been good at and we call it on boarding. The basis explanation is if you touch a customer several times over a short period after they open a new account, you have a much better chance of cross selling other products and making a client for life. Very few banks do this effectively and it really does work. To shift over to the commercial deposit side, approximately 40% of our deposit growth can be attributed to relationships with small and midsize businesses, an area of strategic focus for our company. We think most of the overall new deposit business is coming from Chevy Chase and Provident both of which as you know were recently acquired and are in the process of being integrated in to larger out-of-state banking institutes. This is happening on two different time tables and involves a huge number of local branches as well as hundreds of effected employees. So, there is market disruption working in our favor along with the fact that we will soon be the largest local community bank operating in the zone between Baltimore and Washington. Clearly the customer feedback we’ve been getting is that there is a preference for local quality. Because of all this we think we can generate some good momentum in growing new relationships over the coming months in all of our business lines and we launched a program in April that we internally call operation take share to capitalize on what’s going on among our competitors. We have also seen opportunities to hire some very good people out of competitors that are consolidating. Shifting the focus to a related topic, the dynamics of our loan and deposit growth are producing growth in our securities portfolio which is now up to about $700 million the highest level in several years. I just want to point out that the current growth in the securities portfolio is being invested in to high quality agency type mortgage backed securities mostly seasoned Fannie and Freddie ARMs with short durations in the two to three year range. This is amortizing paper so we should be positioned very favorably to have good liquidity available when higher loan growth eventually resumes. Let me go back to some additional comments on credit quality and the resolution of problem loans and then we can take your questions. We are not surprised by the jump in our non-performing assets. As we have said previously, we have several long standing relationships with large local real estate developers but these builders are also seeing the worse economic cycle they’ve ever had to weather and many of them are being tested as never before. We’ve added four new relationship just this past quarter to our non-performing lists that belong to local established builders who have never had trouble in the past. The increase in NPAs over the linked fourth quarter of 2008 was due primarily to one commercial loan in these four residential real estate development relationships, all together totaling $42 million. The components of our non-performing assets are as follows: 70.8% or $89 million are from our residential builder portfolio, clearly the most significant portion of NPAs and representing some of our largest relationships; 9.84% are from our retail mortgage portfolio or $12.3 million; 9.5% or $12 million of our NPAs are from our C&I portfolio; 3.22% or $4 million in our owner occupied commercial real estate portfolio; and less than 1% is from our home equity portfolio as well as less than 1% from our investor real estate portfolio. In the retail and office portfolio segments, we have very good diversification with no tenant concentrations. We have no exposure to big box tenants within the portfolio and our portfolio primarily consists of neighborhood centers located within our foot print with good tenant diversification. It’s important to note that NPAs do not catch us by surprise. Our risk identification system is robust. We recognize weaknesses early and begin the process of assigning appropriate risk ratings, updating collateral values and establishing appropriate reserve levels well in advance of a loan reaching non-performing status. With that said, the initial financial impact on our allowance for loan lease losses is often well in advance of a loan reaching non-performing status. Additionally, I realize that we are all waiting for any sign that NPAs will begin to turn in the other direction. While we do expect NPAs to continue to build over the short run, a financially successful loss mitigation and recovery program is more important to us and our shareholders than simply the velocity by which NPAs decrease. We’re very sensitive to the resource needs and the credit risk management area and will continue to add resources and expertise when and where needed. Aggressively identifying and dealing with potential trouble spots is a key to successfully working through this cycle. So, to conclude the credit quality discussion we continue to be concerned with the depth, breadth and duration of the current economic environment but we continue to be highly focused on recognizing problems early than tackling them proactively. Before we go to questions let me point out that expenses were under our plan by 5% to 6% which is evidence that we’re continuing to emphasize very tight control of our discretionary spending. The trend over several quarters now has been showing essentially zero growth on our overall operating expenses and we will be working to continue that. Non-interest income was a bit better than we expected by a few percentage points mostly due to gains on mortgages sold as refinancing have been giving the mortgage business a recent surge. Just a point of comparison, we closed over $120 million this quarter compared to $60 million that we booked during the first quarter of last year. We should see mortgage revenue stream continuing to track very nicely as long as rates stay where they are especially since we are moving in to the spring and summer sales seasons. So, this concludes my comments for today which we can expand on as we take your questions. Operator, if we can have the first question please and we would appreciate it if you would state your name and company affiliation as you come on so we know whom we were speaking with.
Operator: (Operator Instructions) Your first question comes from Jennifer Demba – Suntrust Robinson Humphrey.
Jennifer Demba – Suntrust Robinson Humphrey: Dan, I was wondering if you could give us a little more color on your operation take share and what that’s going to involve in terms of advertising, branches, hiring, etc.?
Daniel J. Schrider : Sure, quickly about six areas that operation take share will cover, one is very specific household growth expectations that we will drive down to each business line, so operation take share is about not only deposit growth but also winning new households. So, those are being driven down to the lowest level. Secondly, deposit growth goals, we think it’s a great opportunity for us to take advantage of the market disruption and have significant deposit growth. Third is, an implementation of a new cross functional sales team within the organization to really lever the different business lines that we offer and bring our sales force together. Fourth is, establishing cross sell ratio goals through all of our business lines which is traditionally a retail or branch banking type of strategy. We think it is important to begin to hold folks accountable for cross sell ratio at every level. Fifth is the marketing support which you commented on which is product development, it’s advertising, it’s merchandising, it’s leave behind collateral which has all been developed in an effort to differentiate us in the market while others are internally focused. Lastly, we’re pretty excited about this, on our website we have an online switch kit which will take a client through an electronic and automated fashion to move their accounts to Sandy Spring Bank through our website. So, those are really the six components to operation take share.
Jennifer Demba – Suntrust Robinson Humphrey: To date have you been getting more share from Provident or Chevy Chase?
Daniel J. Schrider : I think we’re seeing activity from both. It’s really two different markets within our markets so we’re seeing opportunities from both as well as I mentioned in my comments, the opportunity to bring some new talent in to our company from those organizations. We’re also seeing some activity in deposit growth from some of the larger institutions that tend to be a little more inwardly focused right now. So, we see that as a real good sign that our beliefs in the value of the local institution is really being born out by the activity that we’re seeing in the market right now.
Jennifer Demba – Suntrust Robinson Humphrey: Once last question, what were your FDIC premiums for the quarter?
Philip J. Mantua: About $950,000.
Jennifer Demba – Suntrust Robinson Humphrey: And that run rate is in the first quarter?
Philip J. Mantua: That’s correct and we clearly see that being at that level or more obviously based on just what other additional growth we get in the deposit area and also not knowing where things might go with this one-time assessment that still seems to be up in the air.
Operator: Your next question comes from Avi Barak – Sandler O’Neill & Partners, LP.
Avi Barak – Sandler O’Neill & Partners, LP: Two questions for you, first just curious looking at the margin which got hit a little bit linked quarter, I was wondering if could quantify for us how much of the margin compression was the result of interest accrual reversals for the increase in non-performers and how much was a result of changes in short term rates?
Philip J. Mantua: Not really much of anything from an interest reversal perspective so it really leaves the majority of the impact to the second part of your question which is really the impact of short term interest rates, where they are and also our management on the liability side in terms of growing the premier money market account in particular here at a fairly competitive rate and having that have the impact it does to the margin right now. Also, considering the investment patterns that we have in the investment portfolios Dan mentioned, there’s not a whole lot of spread there for the time being.
Avi Barak – Sandler O’Neill & Partners, LP: Separately, I was hoping you could give a comment or two on what you’re seeing in stuff you’ve already moved in to the OREO portfolio? What kind of properties are in there, what you have it written down to, maybe if you’re seeing any interest from private real estate investors if its real estate and maybe kind of the gap of where you’re holding and what the kind of bottom fishers are looking for?
Daniel J. Schrider : As you can see from our numbers there hasn’t been significant movement from our non-accrual status in to OREO as a function of timing and for the most part as I mentioned in my comments, a large portion of our non-accrual or non-performers are from that residential development type of business. What we are seeing is significant interest by virtue of the location of our projects in the Baltimore Washington corridor. Long term outlook for new home sales continues to be strong given job growth in this market and some of the controlled growth of many of the jurisdictions we do business in. So, the resolution is not obviously happening immediately because we’re working to maximize the value with those that are interested. The other part of your question has to do with the level of reserve against individual credits and really that is rather widespread. I can’t really comment on a standard percentage write down or reserve against those particular loans, it’s really on a loan-by-loan basis. Obviously the majority of our investments in loans are right in our footprint in that Montgomery, Howard, Frederick and Anne Arundel County market and those values while down are holding up much better than projects out in the edges of the suburbs. What I can say is that we are routinely and regularly updating appraised values and we are reserving appropriately on a very aggressive approach.
Operator: Your next question comes from Mark Hughes – Lafayette Investments.
Mark Hughes – Lafayette Investments: Of the $89 million in residential non-performers, the builder non-performers is it a relatively small number of relationships? What’s your maximum loan limit to individual or entity?
Daniel J. Schrider : There’s a legal lending limit which is essentially Mark 15% of capital which is much further than we typically go. Our largest relationships which may include multiple projects are in the $20 to $25 million total borrower exposure or total commitments but that would make up several projects in those cases.
Mark Hughes – Lafayette Investments: Outside of the individual properties themselves, what do you typically do in terms of further collateral from these types of builders? I mean, what else can you do or did you do when these loans were made?
Daniel J. Schrider : In most cases, and I’m speaking generally but it certainly applies to our portfolio is not only the value of the underlying collateral that they’re developing but also the personal guarantees of the individuals that own those companies were standing behind and in many cases it’s multiple parties with significant financial wherewithal. Also, a comment Mark that the large majority of the projects we’re involved in with residential AB&C are not speculative in nature, not [inaudible], not ground behind held for land banking purposes, it’s developed land. Maybe not with the infrastructure built but with all the necessary approvals to go ahead and build. So, as this thing begins to turn we think some of our projects will generate significant interest. But, it’s the underlying collateral and it’s the wherewithal of the individuals that stand behind the credits.
Mark Hughes – Lafayette Investments: You said you added I think 1,100 household relationships in the quarter, any way to sense whether this is kind of hot money just moving in because T Bills and the like are at essentially zero versus you know, how sticky are these relationships might be?
Daniel J. Schrider : It’s a great question and it is a little bit early in the process to fully understand the stickiness or using our approach of on boarding these clients. I mean clearly, there will be some of our existing clients that have moved out of the market and brought their funds in to this product or other product. But, what we do Mark is we track the utilization of that DDA account. So, are they using the account, are they using the debit card, do they have direct deposit in to their account and when we see activity in that linked DDA account then we know at that point there’s a pretty high probability that we keep a client because they’ve begun to use our bank. So, over time certainly we would expect some of the money of our clients to move back in to the market or other alternative investments but we’re hoping we keep the lion’s share of those households which is why household growth is so important rather than just raw deposit growth.
Mark Hughes – Lafayette Investments: So with the yield you’re offering on the new product and if you take that money and invest it in some kind of short term government security, probably not much spread there at all between the two so you’re hoping to make the money on just establishing a more long term relationship and selling other products to these people, is that a fair assumption?
Daniel J. Schrider : That’s is correct.
Operator: Your next question comes from Steve Moss – Janney Montgomery Scott, LLC.
Steve Moss – Janney Montgomery Scott, LLC: Can you give a little more color with regard to the non-performers on the construction side? Where they generally in Maryland, and in what counties?
Daniel J. Schrider : Yes, they’re generally in Maryland. The good portion of those, the largest portion of those are in Howard County Maryland but we have projects that are in Frederick County, Montgomery County. We’ve commented previously that we have that one project in the southern shore of Delaware which is our only Delaware project. So, the bulk of those are in the Montgomery, Howard, Frederick and Anne Arundel County.
Steve Moss – Janney Montgomery Scott, LLC: I guess to reconcile with the disclosures in your previous presentations where you have broken out the acquisition and development and construction loans, the balance was about $163 million as of December 31st, what’s the balance of that portfolio? I know you’re categorizing in within commercial construction within the press release here.
Philip J. Mantua: We’ve had some reclasses done in the past quarter, we have not grown that portfolio and right now that total AB&C portfolio is at $243 million.
Steve Moss – Janney Montgomery Scott, LLC: Then with regard to the C&I non-performer, what type of business was it?
Daniel J. Schrider : The C&I, the one that was added this past quarter?
Steve Moss – Janney Montgomery Scott, LLC: Yes.
Daniel J. Schrider : That was slightly north of $1 million local real estate project.
Operator: Your next question comes from [Philip Richman] – Smith Barney.
[Philip Richman] – Smith Barney: I noticed in your press release this morning the statement that you had $121 million in residential mortgage loans in the first quarter and I was wondering if you could clarify how much of that were in essence in refis of existing loans that already existed and how much of that was non-organic in growth?
Daniel J. Schrider : Of that $121 million of new originations, approximately 89% of that were refinances with the balance being loans for new property acquisitions. Now, that’s not to say that there were refinances of loans necessarily in our portfolio but from an origination classification standpoint they were refinanced loans.
[Philip Richman] – Smith Barney: On the refis did that compression spread much?
Daniel J. Schrider : The refis that was all generated gain on sale as opposed to putting product in portfolio so it was spread neutral.
Operator: Your next question comes from Bryce Rowe – Robert W. Baird & Co., Inc.
Bryce Rowe – Robert W. Baird & Co., Inc.: I was wondering if you guys could tell us what the 30 to 89 days past due were? Then, on the premier money market account, I assume that I guess that campaign is ongoing, how long do you expect to market it?
Daniel J. Schrider : The premier money market is something that we look at really on a weekly basis Bryce in terms of the appropriate rate and how long we want to continue with the guarantee. So, we’re going to continue to test some different things not only with rates but with the guarantee period. So, we don’t believe this is a product that’s a long term type of product for us but an opportunity in the short run to take advantage of the consolidation. So, we’re evaluating that on an ongoing basis as to how long we want to continue with it as structured the way it is today.
Bryce Rowe – Robert W. Baird & Co., Inc.: Dan can you remind us, I don’t know if you said what’s the deposit balance associated with that product now?
Daniel J. Schrider : The balance associated with that product, at the end of the quarter Bryce was about $350 million. The other thing, going back to some of your questions about the terms or whatever, you may remember that when we initially ran the product back in the fall the initial guarantee period was for nine months so we have a fair amount of that portfolio that’s going to be guaranteed some time through the latter part of the summer so we know we’ve got some of those funds that are going to be in that situation for a while and that’s part of the time element of evaluating what we do as we go forward here.
Operator: Your next question comes from Carter Bundy – Stifel Nicolaus & Company, Inc.
Carter Bundy – Stifel Nicolaus & Company, Inc.: Dan, could you repeat again your commercial real estate non-performers?
Daniel J. Schrider : Total dollars?
Carter Bundy – Stifel Nicolaus & Company, Inc.: Total dollars and then also perhaps just provide some commentary on how the overall portfolio is holding up right now and what your thoughts are here in the near term?
Daniel J. Schrider : Sure, my comments were centered around two different segments. Obviously, we spent some time on the AB&C business which is $89 million or nearly 71% of our non-performers. We have a small portion, $4 million of 3.22% in our owner occupied commercial real estate portfolio and then that’s it. We have less than 1% coming from our investor real estate portfolio, under $1 million so really from a real estate portfolio standpoint it’s being driven by the AB&C business. To give you some color overall, what we’re seeing in the real estate portfolio is the fact that we’re well diversified in retail and in office relatively small average credit size, no real large credits or no dependence on big box anchor type tenants, small community centers and so the performance we’re seeing in that right now is pretty decent relative to what we see in the industry as a whole and obviously we continue to monitor that. The C&I side which is $12 million or 9.5% is made up predominately of smaller credits that were startup in nature when we originated them or small credits that are in some fashion related to the building business through the residential building trades. Looking forward clearly our focus and energy is on the AB&C portfolio while at the same time making sure we turn over every rock in the other portfolios as well.
Carter Bundy – Stifel Nicolaus & Company, Inc.: Switching to the growth in the non-interest bearing deposits in the quarter which was very markable, could you speak a little to that, if that was retail generated or if that was commercial generated?
Philip J. Mantua: I think Dan mentioned during his original comments that about 40% of that growth was in the commercial area and the rest was in the retail segment.
Carter Bundy – Stifel Nicolaus & Company, Inc.: Then finally, do you all have the FTE count at quarter end?
Philip J. Mantua: I do. FTEs at the end of the quarter were $668 and that compares to about $680 at the end of December.
Operator: Your next question comes from Bryce Rowe – Robert W. Baird & Co., Inc.
Bryce Rowe – Robert W. Baird & Co., Inc.: I guess that other question was the 30 to 89 day past due number?
Philip J. Mantua: Yes, Bryce within the commercial portfolio the 30 to 89 is 1.04% at quarter end.
Operator: Your next question comes from Steve Moss – Janney Montgomery Scott, LLC.
Steve Moss – Janney Montgomery Scott, LLC: Just a follow up with regard to the loan loss reserve, how much is allocated to specific credits?
Daniel J. Schrider : Of our total allowance at March 31, just north of $34 million in total reserves were allocated to specific credits.
Steve Moss – Janney Montgomery Scott, LLC: Also, with regard to the non-performing AB&C loans, what were the LTVs at origination?
Philip J. Mantua: Steve those maxed out at 65% by policy. But, many of those at origination were far less than 65% just depending upon the structure of the deal or how it was structured, or the time at which the underlying ground was purchased. In many cases the developer had owned it for several years or the land owner may have contributed to the development project. So, it maxed out at 65%.
Operator: Your next question comes from Mark Hughes – Lafayette Investments.
Mark Hughes – Lafayette Investments: Could you just comment kind of generically how the loan portfolios from Potomac and County National have held up versus I guess what we would call the old Sandy Spring?
Daniel J. Schrider : By virtue of the size of those institutions Mark and their capacity or loan limits based on their capital they were typically small business lenders so there was not any significant exposure in some of the areas that we’re seeing weakness. So, there was not significant exposure to builders or developers. So, the portfolios are performing very well and I would say from the C&I side, comparable to what core Sandy Spring portfolios are performing.
Mark Hughes – Lafayette Investments: Are you seeing growth as you might have expected out of those two acquisitions during this somewhat troubled time?
Daniel J. Schrider : In my comments I alluded to Northern Virginia which has seen significant growth after going through its initial adjustment to being acquired. Our acquisition in Anne Arundel County also continues to grow but not quite at the pace that we’re seeing in Northern Virginia. Both of those met our expectations in terms of being accretive to earnings in the time frames we set forth upon acquisition.
Mark Hughes – Lafayette Investments: One last question, how is WES fairing in this environment?
Daniel J. Schrider : Our wealth management business as a whole as you might imagine just by virtue of that being a fee based business on asset balances as they’ve seen some adjustments but we’re finding that our ability to hold on to clients this is actually a good time for us we believe to be in this business as some of the larger firms have gone through their struggles. So, we believe we are fairing very well.
Operator: At this time we do not have any further questions in queue. I’ll go ahead and turn the call back over to Mr. Schrider for any closing comments.
Daniel J. Schrider : Thank you for your questions and taking the time to participate with us this afternoon. We would love to receive your feedback and help us evaluate how we did. You can email us your comments at ir@SandySpringBank.com. That would be very helpful to us. Thank you again for joining us and have a wonderful afternoon.